Company Representatives: Brad Elliott - Chairman, Chief Executive Officer Eric Newell - Chief Financial Officer Greg Kossover - Chief Operating Officer Craig Anderson - President Chris Navratil - Senior Vice President, Finance
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Equity Bancshares Fourth Quarter 2020 Earnings Conference Call. At this time all participant lines are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Chris Navratil. Thank you. Please go ahead, sir.
Chris Navratil: Good morning, and thank you for joining Equity Bancshares conference call, which will include discussion and presentation of our fourth quarter 2020 results. Presentation slides to accompany our call are available via PDF or download at investor.equitybank.com by clicking the Presentation tab. You may also click the Event icon for today’s call posted at investor.equitybank.com to view the webcast player. If you're viewing this call on our webcast player, please note that slides will not automatically advance. Please reference slide one, including important information regarding forward-looking statements. From time-to-time we may make forward-looking statements within today's call and actual results may vary. Following the presentation we will allow time for questions and further discussions. Thank you all for joining us. With that, I'd like to turn it over to Brad Elliott.
Brad Elliott: Thank you, Chris, and good morning. Thank you for joining our call and your interest in Equity Bancshares. Joining me is Eric Newell, our CFO; Greg Kossover, our Chief Operating Officer; and our President, Craig Anderson. The entire Equity team entered 2020 optimistic that we would build on our momentum from 2019. I can look back on 2020 and say that we exceeded our expectations, just a little differently than we planned. While we had a branch-light model for three weeks when the pandemic hit, we were quickly fully opened in our branches to serve our customers in a safe manner and have never looked back. This has proved to be a differentiator in our markets.  We still have major competitors that have dark branches and put their needs ahead of their customers and duty to be an essential business. This is not lost on our customers or others. Many of these customers are business owners and struggle to understand how to safely get their employees back to work, to serve their own customers and communities.  We approached it the same way. Those customers now know that they can depend on Equity Bank to be there when they need us most. By way of example, Gaylyn McGregor and Glenn Malan in our Trust and Wealth Management Group continued to safely meet with their clients and prospects, to give advice for decisions that can't wait for the pandemic to end. Many of our competitors cannot or will not do the same.  Our commercial lenders, treasury sales and bank managers are out making calls to prospects which they have a relationship with, that happen to bank elsewhere. Why? Because their current banker will not meet with them. We’ve had more customers than I can count, call us because their current banker was unable or unwilling to help them get a PPP loan, process a simple request or talk about their current needs. Julie Huber has masterfully led a team of over 150 individuals at Equity through the PPP 2020 program, Main Street lending and the current PPP program.  Our credit administration, loan servicing, commercial lenders and customer care departments have worked day and night to meet our customer’s needs and to get the government programs delivered to help them be able to run their businesses. I'm honored to be a part of this team that over and over again have shown entrepreneurship through a challenging and uncertain time.  I wanted to spend time on this because our team and our customers are what make up the value proposition of Equity Bank and in turn supports and builds franchise value. We will talk about the financial aspects of our business and they are very important, but without our employees and our customers, we would not be able to achieve our financial results.  Highlighting how our team has performed in one of the most uncertain environments many of us have ever experienced was something I wanted to share with you. We started the year with $20.75 per share of tangible book value. It grew at $3.93 to $24.68 per share, nearly a 20% annual return on tangible book value. This is the highest level we have reported as a company.  Our asset quality metrics have remained stable and improved, which Greg will discuss in a moment. We raised $75 million of offensive capital in the summer, and have also prudently managed capital in this moment of uncertainty. We returned a portion of our capital to shareholders through a stock repurchase program we completed in the summer, and are now executing a second repurchase program implemented by the board in the fall. We added $24 million of reserves to our allowance for loan losses as Eric will speak more about. We are ready for the adoption of CECL. We successfully closed on a deal to acquire all the assets and deposits of Almena State Bank from the FDIC. We completed the core conversion over the recent three day holiday weekend. We are thrilled to have welcomed the members of the former Almena team to Equity and have high hopes for growth in Norton and Almena, Kansas markets. Under the leadership of our Western Kansas Regional President, Levi Getz, we anticipate this will be a good financial transaction for our shareholders.  I feel great about our prospects in 2021. The operating environment it's not easy, but this is where our team can win new business and showcase our value proposition to our new and current customers.  Eric, let's take everyone through our quarter. 
Eric Newell : Thank you, Brad and good morning. We had a busy fourth quarter resulting in a net income of $12.5 million or $0.84, per diluted share. There are several items in the quarter that had some impact. First, we successfully closed on a deal to acquire the assets and deposits of Almena State Bank adding two branches to our Western Kansas region. As a result, we recognized a gain of $2.1 million in a quarter as opposed to what we normally see in whole bank acquisitions where goodwill may be added.  We also recognized $299,000 of merger related expenses during the quarter. Lastly, in OREO expense we recognized the valuation adjustment to two branches we closed earlier in the year which was $947,000 of the $1.6 million of expense in the quarter.  When taking into consideration these items, non-GAAP pre-tax earnings come out to $13.7 million. This compares to third quarter non-GAAP pre-tax earnings of $11.8 million, which excludes the impact of goodwill impairment. Our non-GAAP net income in the fourth and third quarters is $10.6 million and $9.1 million respectively, representing $0.71 per diluted share compared to $0.61 per diluted share in the third quarter.  Net interest income increased to $35.6 million in the fourth quarter from $32.1 million in the third quarter. Our 2020 PPP customers have had great success in obtaining forgiveness from the SBA on their loans, totaling 123 million of loans forgiven in the quarter. This represents 33% of PPP loan dollars forgiven and 61% of our total PPP loans.  When the loan is forgiven, the unrecognized net fee income we received is pulled forward and recognized. During the quarter we recognized $3.75 million of fee income, bringing the total of SBA related fee income recognized for the full year to $6.09 million. For reference in the third quarter, where we had no forgiveness of PPP loans, we recognized $1.3 million.  PPP interest income totaled $777,000 and $946,000 respectively, removing PPP fee and interest income from net interest income in both the fourth and third quarter’s results in pro-forma net interest income of $31 million $29.9 million respectively. The driver of the increase of NII was a reduced cost of interest bearing liabilities.  With PPP impacts removed, loan yield, earning asset yield and net interest margin in the quarter ending December 31 is 5.15%, 4.23% and 3.7% respectively. This compares to the quarter ending September 30 of 5.01%, 4.2% and 3.6% respectively. We are at $4.5 million of net deferred fees that we have yet to recognize related to that $253.7 million of PPP loans outstanding at year end.  A quick comment on our Main Street lending program originations. We originated $282 million of loans under that program in the fourth quarter. We expect to recognize the net origination fee ratably over the contractual five year life of the loan.  Craig, do you want to touch upon Origination Activity for the quarter. 
Craig Anderson: Thanks Eric. During the fourth quarter we had a significant amount of pay-downs, much of which was strategic in nature due to perceived or actual credit weaknesses. However, I am happy to report that we had our strongest quarter of originations this year when excluding PPP loans from the second quarter.  During the fourth quarter we originated $563 million of which $282 million was Main Street Lending Program loans. $268 million of which was sold to the Federal Reserve, resulting in a net $295 million originated for our balance sheet. Our total fourth quarter originations, $141 million was C&I and $71 million was commercial real estate. The weighted average coupon of our originations in the quarter was 4.31% comparing favorably to third quarter weighted average coupon of 4.19%.  Our total pipeline is approximately $400 million, a level that is higher than what we saw for much of 2020. Our focus is to ensure that we our assisting our customers in the best way possible, whether it's providing them options under the various government assistance programs such as the 2021 PPP program. We have teams working hard at all our hours and days of the week to get loans approved by the SBA.  Through end of business on Sunday, January 24, we've had over 1800 customers submit loans, totaling approximately $219 million of which 900 have been approved. We continue to see a high level of interest in the SBA program.  Our teams are also hard at work ensuring growth from our new and current customers from traditional sales activities, Main Street Lending Program and PPE and deepening their relationships with Equity beyond lending products.  Most all of our lending relationships bring their deposits to us helping to increase our demand accounts, $310 million in 2020, which is an astonishing 64% growth year-over-year. Late in 2020 we analyzed our deposits for PPP loan proceeds impact and estimated insignificant amounts remained from the 2020 PPP program.  We had great success with establishing [ph] deposits with our Main Street Lending Program relationships, which will boost future treasury management income. We have seen successes in our consumer checking accounts. We improved by nearly three times the net new checking account growth in 2020 versus 2019. Average balances of established accounts were higher due to elevated liquidity from pandemic programs such as federal Unemployment Insurance and stimulus payments made to individuals. From what we can see, many customers have been saving those funds. We are optimistic that we can continue our progress in achieving our goal of 30% to 35% ratio of demand deposits to total deposits.  With that, I will turn it back to Eric. 
Eric Newell : Thanks Craig. I want to highlight the 15 basis point reduction in the cost of interest bearing liabilities. The cost of time deposits declined 23 basis points linked quarter, as I mentioned would happen during our third quarter earnings call. It may be counterintuitive to see our cost of FHLB advances increasing, but that is due to fixed rate advances that remain, all of our short term and overnight funding has been paid off at year end.  Average non-interest bearing DDAs totaled $738 million in the fourth quarter of 2020, increasing $23 million from $750 million in the third quarter, which is also a factor in NIM preservation.  Entering the fourth quarter, our team was prepared to adopt CECL on December 31, 2020 with our earlier election to differ adoption at 12/31 under the CARES Act. With the appropriations bill signed by the President on December 27, there was language in the bill that modifies the deferral date of January 1, 2022. After conferring with our advisors, we are opting to adopt on January 1, 2021 and not deferring another year as the law permints. The reason for the January 1 versus December 31 adoption is due to the relative ease of disclosure with the January 1 adoption date, as the December 31 adoption was effective January 1, 2020 a complexity we wanted to avoid.  With that in mind, at year end we continued to use the incurred loss method for calculating the provision and allowance for loan losses. The total provision of $1 million in the quarter is fairly consistent with the third quarter provision and there were minimal changes to management's qualitative factors in the fourth quarter. At December 31 we had $17.7 million of credit marks on acquired loans of which $12.6 million is from the Almena transaction. When included in the ALLL, the pro-forma coverage ratio rises to 2.36% when excluding the ending balance of PPP loans from the denominator. As a reminder, with the adoption of CECL on January 1, the effect will run through capital and not current period earnings. Greg. 
Greg Kossover: Thanks Craig. Looking back on 2020 and the uncertain environment, I am cautiously optimistic about where we stand with many of our customers. I work closely with Craig Mayo and personally met with many of our customers to better understand business conditions and how it may impact our prospective credit picture. And importantly, it allows our team to work to proactively make sure our customers are in the best position possible to whether the uncertain operating environment and in turn minimizes any potential credit issues.  In the fourth quarter, total non-performing assets declined $54.6 million from $61.7 million in previous quarter. This includes $7.5 million from the Almena transaction, all of which we believe is marked appropriately and when this $7.5 million is removed the quarter over decline – quarter-over-quarter decline is approximately $15 million. Overall, delinquencies are flat quarter-over-quarter. As Craig Anderson previously mentioned, through hard work we were successful in moving some credits off our books to improve our credit picture.  On our last call, I mentioned a shared national credit that totaled $6.2 million, which we previously reserved for and had contracted to sell. We closed on that deal as expected in the fourth quarter at the level that we anticipated and that contributed to a decline in our non-performing assets from September 30.  We have not originated any new snicks [ph] in the fourth quarter and our balance in that portfolio is currently $38.4 million. In addition to this snick OREO was down about $3.1 million in the quarter and about $6 million in loans improved to watch more better to account for the decline in NPAs. At year end we moved one of our large relationships and a special mention. This relationship is in our aerospace segment and we have previously discussed the uncertainties around this relationship.  During the second half of 2020, the Entity Principle injected $50 million of capital into the borrower dramatically improving the credit picture. However regrettably, a major customer of theirs canceled its contract late in 2020. While our borrower is still selling its product to this customer, due to it being the sole manufacturer of this part, management felt it was prudent place the relationship in a special mention until there was more clarity on the relationship between our borrower and their customer and a better understanding of their financial plans in replacing the lost revenue with alternative sources. Our borrower remains current on its loans at this time and we believe we are adequately collateralized. Management will continue to closely monitor this relationship and overall portfolio and proactively work with our borrowers to ensure the best results for both the businesses and the bank.  We also used the extension provided to us under the Appropriations Bill signed in late December to provide some relief to customers that continue to be directly impacted by COVID, by deferring a portion of their payments for barring terms as permitted under the CARES Act. The total of loan relationships under some form of relief, generally in the form of deferral at December 31 is 10 for $63 million or about 2.5% of loans.  We prudently structured the deferrals, so that in the event the borrower met certain financial performance metrics, the deferral would end and contractual payments would resume. We have appropriately risk rated these loans and assess them for accrual status as required by GAAP and regulatory standards. We also believe the majorities of borrowers have secondary sources of capital to repay should the primary stores become insufficient. About 60% of the balance is to very strong theater operators and about 20% are to very strong hoteliers.  Other real-estate owned screens up from the previous quarter. We had a borrower that we are currently liquidating, deed to us properties as part of an executed forbearance agreement. This total $6.1 million and better positions us to limit our exposure, removing these performing OREO assets, the balance quarter over quarter declined approximately $3.1 million on the back of several successful sales or OREO. OREO expense totaled $1.6 million during the quarter and as Eric mentioned, we had two closed branches that we revalued in the quarter which totaled $947,000.  Before I give an update on our Hotel Portfolio, I want to share with you that our overall credit metrics are trending positively in the fourth quarter and in 2020. Without Almena, our nonaccruals are down $17 million in the fourth quarter and down from year end 2019. Non-performing OREO is down $3.1 million in the fourth quarter and also down from year-end 2019.  Assets internally rated substandard are down $5 million in the fourth quarter and our capital was up leading to these metrics, all being much lower in relation to capital at December 31, 2020 compared to 12-31-19.  I want to briefly talk about our Hotel Portfolio. We have been in frequent communications with our large hotel operators and although the environment continues to be unfavorable for this industry generally, our conservative underwriting standards for these assets, when combined with the owners quick and prudent reactions to the COVID environment leads us to believe that any upset will be minimized.  Many have injected the operating capital necessary to date than have reserves for 2021. They have already significantly adjusted operations and have been forthcoming with us about their revised operating models. These borrowers are seasoned and represent many of the best in the industry and are in the hotel industry as their core business and for the long run. We also continue to work through some smaller hotel credits purchased through mergers and believe they are adequately marked should they become stressed. As I said in our last call, the prospect of future issues due to COVID-19 are still possible. We believe we have the resources on our special assets team to address in a proactive way, any perceived or actual issues as they arise. Eric. 
Eric Newell: Thanks Greg. Our non-interest income totaled $8.5 million a quarter, an increase from $6.5 million in the third quarter. The main driver in the period was the $2.1 million bargain purchase gain recognized as part of our transaction with the FDIC as receiver of Almena State Bank. Associated with this transaction, there is no loss sharing agreement between the FDIC and Equity.  We experienced relative stability in all of our other fee income lines in the fourth quarter. We are excited about the growth we're seeing in our trust and wealth management team. From its launch just about two years ago, on December 31, 2020, the assets under management just exceeded $200 million, a huge success story for the team and fee income will become a more meaningful contributor to the total fee income in future periods.  One of our long term goals is to increase our fee income mix to total net revenue closer to 30%. It will take several years to achieve this and the trust and wealth management line of business will be an important part of achieving that goal.  Total non-interest expenses for the quarter ending December 31 is $28.5 million compared to a pro-forma $26 million in the linked quarter, when excluding the goodwill impairment which represents a $2.5 million increase. The most notable contributor to the increase was $1.5 million in other real-estate owned, which Greg just discussed.  $300,000 is attributed to the merger expenses from Almena State Bank. Our FDIC insurance premium increased $437,000 in the fourth quarter and we expect this higher run rate through the quarter ending June 30, 2021. This is due to the goodwill impairment and its impact on the net income ratio, which is in an input into the calculation of the FDIC premium.  With the removal of extraordinary items concept in 2016 from the definition of net income, the good will charge will unfortunately drive a higher premium, until it falls off in the third quarter. When removing these items on a pro-forma basis, fourth quarter non-interest expense would have been flat to the third quarter. Greg. 
Greg Kossover: Before Eric takes you through our forecast for 2021, I want to say, the entire executive team is working hard to lead the company and prudently manage our balance sheet and capital in this uncertain time. There are a lot of opportunities to make mistakes in an effort to reach for asset growth or ease up our credit standards in an effort to book earning assets. We know we would live with those mistakes for a long time. We are willing to be patient when we need to and not sacrifice our credit and our risk culture for a short term earnings boost.  We will continue to work hard on our prospecting and selling efforts led by Craig Anderson in building the team's pipeline to continue our loan growth. Eric.
Eric Newell : We've added a couple of slides in our earnings deck and on slides 22 and 23 you can see our forecast for 2021. We are cautious about loan growth in the upcoming year, as you can tell by the fairly wide range we are providing. To Brad’s comment about prudent risk management, we are not going to stretch to grab loan growth just for the sake of grow.  We do expect that the benefit for the declining cost of funds will start to become less impactful in 2021 versus what we experienced last year. There is likely one more quarter of benefit in time deposits and we have studied carefully our competitive posture on deposit pricing for our non-maturity products and believe there may be some benefits realized.  As you heard from Craig, we've been successful in maintaining origination coupons in excess of 4%. If that success continues, our NIM compression would be more muted and we’d land in the higher end of our forecasted range.  We believe fee income will benefit from the aforementioned contribution from our trust and wealth management group, as well as the normalization of overdraft fees and a focus on our treasury management and debit card interchange fee income lines in 2021. Non-interest expenses will be flat to modestly down in 2021 versus 2020. Brad. 
Brad Elliott : Thanks Eric. Before we open it up for questions, I wanted to thank each of you for your continued interest in Equity. We had quite a year, and I believe we are well positioned for 2021 and the future. Our sales teams have the tools in place to be successful in serving our customers and winning new business and we are continually looking at ways to make their lives easier and build leverage into what we do.  We have learned a lot as a team this year, and we look forward to continuing serving our customers and helping them be successful and supporting our communities.  And with that, we are happy to take your questions now. 
Operator: [Operator Instructions] Our first question will come from Terry McEvoy with Stephens; please go ahead. 
Terry McEvoy : Hi! Good morning everyone. 
A - Brad Elliott: Hi Terry. 
Terry McEvoy : Maybe just a question for Eric. I'm just curious, the quarter-over-quarter increase in certain loan yields, the resi real-estate and the ag real-state. Could you just talk about what was behind the jump there in the fourth quarter and if that’s sustainable? Thank you.
Eric Newell : Yeah Terry, I would say I don't have specific information on the Ag. I don't know if Greg or Craig you…
Craig Anderson: Terry, I'm going to venture to say that Ag would have gone up because we had a large credit improved in our western Kansas market and grabbed the balance of the accreteable yield as it was moving back to performing. 
Terry McEvoy : And Eric, any comments on the other, the move to 490 on the resi real-state?
Eric Newell: I don't know why that occurred in the quarter, but I would venture to say that that's not sustainable in going forward.
Craig Anderson: I think Terry that's also – I think that's also a large credit coming back on accrual. 
Eric Newell: Oh yeah, we did have one credit that came back onto accrual in the quarter that was in that portfolio. You know they had some deferred interest that they owed us and paid us back in the quarter. So that’s a temporary increase in the yield Terry and I would take it, you know we're going to fall back to what we saw in the third quarter.
Terry McEvoy : Okay, thanks. And then Greg, thanks for reviewing the hotel portfolio. I was wondering if you could just update us on the aerospace portfolio. I believe in the past it's been included in your presentations and the reason I ask is the one specific credit that you highlighted in your prepared remarks. 
Greg Kossover : Yeah, it's the one specific credit Terry is really the only one that we're seeing stress in. The balance of the portfolio is doing well. In fact we had one borrower successfully sell his business in Q4, and so other than what we've disclosed, everything else is in good order. And that credit while we’re on it, Terry as I said is current, a great operator. It really is in my opinion an abundance of cautions that it’s in special mention and at this point they are not delinquent and I don't forecast loss based on an estimate of the collateral that we have today, and so we'll see what 2021 brings. 
Terry McEvoy : Perfect! And then maybe Brad just to finish up with you, your thoughts on bank M&A and 2021 as it relates to equity and while your stock price is high or it's still just a touch below tangible book value and you know how do you think about M&A relative to your valuation today? Thanks.
Brad Elliott : Yeah, well Terry, you know we raised capital so we would have some aggressive or offensive capital. So I think we might have some opportunities to do some things that would be cash and which would be you know creative to earnings and probably priced right and will be something we want to do with cash versus with stock.  I think there are some conversation – I know there are conversations that we’re having with people about stock. It’s actually a great time to take our shares from a valuation standpoint and so I think we – you know I think there are good conversations going on. As you know banks are sold and not bought, so the seller has to decide that it's the right time. But as we go through this year and come out with some certainty on where credit looks like in their portfolio, I think we'll be more confident about moving forward and executing on some of those transactions. 
Terry McEvoy: Great! Thanks everyone. 
Brad Elliott : Thanks Terry. 
Operator: Thank you. Our next question will come from Michael Perito with KBW; please go ahead. 
Michael Perito : Hey, good morning. Thanks for taking my questions. I wanted to ask – clarify a couple of things in the outlook for 2021 if that's alright. I wanted to first just start on the non-interest income side.  I was wondering if you could break out a little bit more of you know where you expect to see the drivers of the 10% to 20% in 2021, and just a quick follow-up. If we look at the 1Q ‘21 outlook of $6.2 million to $6.8 million, you know to get to that 10% to 20% year-on-year growth, it would seem to suggest quite a ramp over the course of the year. Is that accurate? Is that how you guys are seeing it? And any color on what the drivers of that growth would be helpful. 
A - Brad Elliott: Yeah, I would look at three things as driving the fee income, non-interest income growth in the year. It would be our trust and wealth management group contributing more on the fee income side given their success in our growing AUM through 2020 and largely in the fourth quarter there are some several wins and I know they have a pretty strong pipeline, so we should start seeing some benefit with the trust and wealth management group, so that's expected. We're also looking to a debit card interchanged income trust management or a commercial customer treasury management - treasury management, I'm sorry, treasury management fee income from our commercial customers; debit card interchange and non-sufficient funds or overdraft fee income. Some of that is seasonal in nature, so you don't see that in the first quarter, but you'll see some pick up as the year comes on and I think those are the four areas that we're looking to relative to 2020 to see some growth. 
Eric Newell: And that growth is relative to 2020 Terry – Michael, so if we just have normalization back on deposit accounts, you know that will substantially cover a lot of it. But we actually have had really great treasury fee income growth that's been building for the whole year and so – and I think it'll continue to build for this next coming year, along with trust and wealth management.
Eric Newell: Yeah, and to that point Michael, you know we were very successful in collecting treasury management core deposits from our Main Street customers late in the fourth quarter, and so as those relationships start to incur activity, we’ll be able to realize some fee income there as well that was not in our run rate pretty much at all in 2020.
Eric Newell: Yeah, we know it’s already booked and we already know what the revenue is going to be on some of that stuff. 
Michael Perito : And that's off the lift point of $26 million for 2020, right. So that would mean you expect non-interest income to be like $28.5 million to $29.5 million based on the 10% to 20% growth or may be a little higher in 2021. Is that the right lift point or there are other adjustments you guys are including in that?
Eric Newell: No, there's no other adjustments. 
Michael Perito : Okay, great, and then on the average earning assets, I think you guys said $3.4 billion to $3.6 billion in the first quarter, you know relative to just over $3.6 billion I believe in the fourth quarter. A little bit of a wide range. I was curious, is that really related to kind of the loan growth and pace of PPP balance degradation or can you maybe talk about that dynamic a little bit more and maybe what drivers can push it at the higher or lower end of that range for the first quarter as we think about the size of the balance sheet for next year? 
Brad Elliott: Yeah, we – so from the average earning asset side, one of the things that I was – we're considering is that you know we have this cash sitting on our balance sheet at year end. You know we don't want to grow loans just for the sake of growing loans and PPP activities actually generate their own liquidity, because when our cust – when we were doing our PPP loan for our customer as we are doing right now as we speak, we put those proceeds into a deposit account here at Equity and often times that customer, that liquidity stays, so it's actually kind of a self – it creates more liquidity rather than the using liquidity.  So from the average earning asset side, we’re likely going to see a modest increase in the investment portfolio as a percentage of average earning assets and what we're doing there is we’re trying to be very careful in not adding too much duration there. It’s almost a cash substitute and then once we start booking and seeing continued – continuing to book and seeing pull-through on the loan pipeline on non-government programs, we would deploy that liquidity you know and cash flow into the loan portfolio. So there is a little uncertainty Michael as to the loans versus the average earning assets. I think the idea is that you know come March 30 of this year, you’re probably going to see a higher percentage of investments to average earning assets than what you saw at year end and that’s why we added that, because there is that kind of interplay of uncertainty. 
Michael Perito : Got it. That's really helpful and then just lastly, I apologize if I missed this in the prepared remarks, I was jumping back and forth in a couple of calls, but I think you guys on the third quarter call provided some broad strokes around CECL adoption and what those numbers could look like. Did you update that, and if so do you mind just repeating or if not, do you mind just commenting on where you think the CECL reserve when you adopt next quarter will go? I mean it would seem like maybe there is some room for some improvement and also the third quarter as the economic outlook got a little better, but curious, any updates there would be helpful. 
A - Brad Elliott: Michael, are you talking about provisioning expectations in 2021?
Michael Perito : No, I'm just kind of talking about where the overall allowance coverage will go once you guys adopt – understanding that that won't all impact earnings, you know reported earnings, but just where I think you guys provided a broad range for that last quarter if I remember correctly. 
Brad Elliott: Yeah, and actually it won't impact the current period of earnings in the first quarter at all, because with the January one adoption it will go through capital. So the way we're looking at is, we have $17 million of purchased credit impaired that will flow into the ACL. That’s just – that will not go through capital. That's already on our balance sheet, so it's just a presentation change.  And then once you add that $17 million to you our year end ALLL, we're expecting that you'll add another 20% to 30% on top of that to get to our ACL at March 31. So that 20% to 30% on top of the pro forma ALLL at 12/31 plus the $17 million that does not go through capital, that 20% or 30% on top of it will be a retained earnings adjustment in the first quarter. 
Michael Perito : So you guys, I mean that would – you know really rough math here, but that would suggest that the ACL will be all in, just about double the $33.7 million allowance, the LLR you guys had in the fourth quarter. Is that in the ballpark? 
A - Brad Elliott: Yes Sir. 
Michael Perito : Okay, excellent! Thank you guys for taking my questions, I appreciate it. 
Brad Elliott: Thank you. 
Operator: Thank you. Our next question will come from Jeff Rulis with DA Davidson; please go ahead. 
Jeff Rulis : Thanks, good morning. I appreciate the slide on 22. Don't want to beat it up too much. I appreciate the effort to kind of show the expectations, but a couple of questions, other questions.  On the margin, you know that's I guess at the midpoint of – was that a 30 basis point decline. You mentioned Eric that maybe increasing the mix of investment securities, your limited effort or limited further room on lowering you know deposit costs, I get maybe some of the pressures there, but what else is – and I guess we kind of outlined some of the one-off you know collection of interests that maybe juiced loan yields in the quarter. I guess the settling of all that, is that why I guess core, it goes down 30 basis points linked quarter. 
Eric Newell : Yeah, I mean the collection of deferred interest certainly is a factor in the 3.7 net interest margin in the third quarter. So what we attempted to do in the outlook for the range of the 3.35 to 3.45 is to strip out the effect of PPP in that quarter, as well as we're not taking into consideration any level of purchase accounting, so – you know because that's pretty – I mean we have a level of it every quarter based on all of the acquisitions that we’ve realized, and then we'll have some of it with Almena as well, but hard for us to really make an estimate on that.  So you know I would say Jeff, your characterization of kind of a subtle or you know some of the one-offs in the third quarter is really what's driving that reduction in the range.  I would point out though, there's a couple of things: First off, you know in Craig's prepared comments, just in case if folks missed it, you know the weighted average coupon that we originated in the fourth quarter was 4.31% comparing favorably to 4.19% in the third quarter. So you know we’ve had some really good success in originating meaningful dollars on our – for our balance sheet with a 4 handle on it.  We continue to add success that will help mitigate NIM compression. I'm sure that you know some of our peers probably are doing a lot more with 3 handles. We're certainly seeing it in deals that we miss on re – you know folks across the street are using a 3 handle on their originations, so we're seeing it. So you know we're working to preserve that. And the other item that I wanted just to highlight is on the interest bearing liabilities side. You know we've had some great success in reducing our time deposit cost. I expect that we'll get a little bit more benefit in the first quarter here in 2021. I don't think it's something that we're going to be able to continue to drive down throughout 2021 just based on the duration of that portfolio.  However, you know we – in 2020 we were very aggressive and early in reducing our non-maturity deposit rates and I think a lot of our competition has caught up to us and so we've been studying whether there's opportunities for us to not meaningfully, but you know on the margin, you know 1, 2, 3 basis points here and there, throughout the year reducing our non-maturity deposits and we’re going to work on that as well based on what we're seeing on the competitive landscape. So that you know can have the effect of – you know that pool of money that we're reducing essentially overnight, so that can be quite helpful. And then one last item on margin that you know I don't want folks to miss is that, on the non-interest bearing as a percentage of total funding, I don't have the numbers right in front of me, but I know that that's become a more meaningful – in the fourth quarter a meaningful percentage of total funding than earlier periods, and you know we believe that a lot of that’s sticky.  There’s certainly higher levels of liquidity in the consumer side, but we've been seeing that you know our customers are saving that – and you know largely saving it, and from the consumer or commercial side, we don't believe PPP is really meaningfully contributing to that number and those Main Street funds, you know those are short term relationships and we expect that we're going to be able to maintain that. So we're pretty constructive on that number going forward in total funding. 
Jeff Rulis : Okay. Just to follow-up, the margin, so the 370 report, it includes some accretion, whereas your Q1 ‘21 outlook excludes accretion. Is that correct or maybe it was modest in Q4, okay.  And then just the jump-off point, your preliminary ‘21 outlook where you see a contraction, are you saying we adjusted Q1 down and from there it’s further contraction or that represents the contraction and then its maybe a flat line from there. 
Brad Elliott: Its definite, I'm not – good question Jeff and I appreciate it. It's not a trajectory, meaning that you know you're going to see another 15 basis points compression. I would say it's more of a flat line. You know obviously the competitive pressures of everything I just mentioned will have an impact on that. On – we’ll call it a core basis, even though we are kind of considering PPP core. I mean there is some noise as part of that, but this is [inaudible] PPP and other items, our government programs, but I will call it more flat line to be on there. 
Jeff Rulis : Got it. So core steps down and then it’s a kind of a battle from there, but not necessarily further compression, including the puts and takes, okay.  Sorry, so the last one I have is just a jump to the expenses. You got a $3.5 million decline run-rate and obviously OREO merger costs. Is there some cost saving coming there, because it’s sort of a lower figures, particularly at the $24 million level, what else is coming out or what line item can we see relative to the fourth quarter that’s going to – say you get to that $24 million, where would that come from? 
Eric Newell : So we’ve – until the SBA program we’ve historically been booking loan fees as we’ve been incurring them, and because we’ve been doing an analysis basically saying that’s not material to differ. But with SBA program that came in place, we are now effective January 1, this year. We are differing both the loan fees that we earning, as well as the expenses of originating those. So you are going to see the effect us starting to differ the expense side of originating those loans and then recognizing it through a yield adjustment over the expected lift of those loans. So it’s going to come out of the salaries and benefits line, the effects there. 
Jeff Rulis : Okay, so these are going through. Okay, that’s it from me. Thanks. 
Brad Elliott: Thanks Jeff. 
Operator: [Operator Instructions] Our next question will come from Andrew Liesch with Piper Sandler. Please go ahead. 
Andrew Liesch: Hey, good morning everyone. 
Brad Elliott: Hi Andrew. 
Andrew Liesch : Just a question on the $400 million pipeline you guys referenced. How much of that is from PPP or the Main Street Lending Program versus just traditional core bank commercial loans? 
Craig Anderson: Andrew, this is Craig. That pipeline is all of our traditional pipeline. That does not include PPP at all. So it’s a cross section of opportunities in manufacturing, distribution, agro business, franchise lending, and it’s very strong across our three metro markets, Kansas City, Wichita and Tulsa and then we’ve got a couple of our community markets, Western Kansas and Western Missouri that also have very strong pipelines. 
Andrew Liesch : Got it. So with that optimism there plus probably coupled with some, and we have to keep 5% of the Main Street Lending but maybe some growth there, and obviously some volatility around PPP, it should be a pretty strong year for loan growth. I mean on an average balance is to get 3%. I mean that could be double digit on an end of period basis. Am I looking at that correctly? 
Craig Anderson: You are, but again we are cautious because that’s one side. We also have the other side of keeping our customers or you know keeping them from refinancing somewhere else because of rate. We are certainly – you know we appreciate a good customer and we are going to work with them in the event that those conversations come to us. But we are cautiously optimistic on loan growth, that’s why you see that fairly wide range there on the preliminary outlook for the year. 
Andrew Liesch: Got it. And then just referencing some of the strategic actions that took place moving some of these borrowers out of helping them find financing elsewhere. Is there more of that to go or are we seeing the bulk of that. How is that we see the different portfolio?
Craig Anderson: Yeah, I think Andrew, the bulk of it has occurred. There may be some one-off credits that move out in the next couple of quarters, but by and large we got all that taken care of in Q3, Q4. 
Andrew Liesch : Okay, got it. You’ve covered all my other questions. Thanks for including that slide 22. 
A - Brad Elliott: Thanks Andrew. 
Operator: Thank you. And we do have a follow-up question from Terry McEvoy with Stephens. Please go ahead. 
Terry McEvoy: Hi! Thanks, just one quick question on slide 22, that within average loans, the fourth quarter ’20 results, the $2,382 million, that excludes the $310 million of PPP loans. Is that correct there?
Eric Newell: Yes.
Terry McEvoy: Perfect! Okay, that’s it. Thank you. 
Operator: Ladies and gentlemen, this does conclude today’s question-and-answer session, as well as today’s conference call. Thank you for your participation. You may now disconnect and have a wonderful day!